Operator: Thank you for standing by. Welcome to the REX American Resources Fiscal 2016 First Quarter Conference Call. During the presentation, all participants will be in listen-only mode. Afterwards, we will conduct a question-and-answer session [Operator Instructions] As a reminder, this call is being recorded Thursday, June 02, 2016. I would now like to turn the conference over to Doug Bruggeman, Chief Financial Officer. Please go ahead.
Douglas L. Bruggeman: Good morning and thank you for joining REX American Resources’ fiscal 2016 first quarter conference call. We’ll get to our presentation and comments momentarily, as well as your Q&A, but first I'll review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today’s conference call contains forward-looking statements that involve risk and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the Company’s current expectations and beliefs, but are not guarantees of future performance. As such, our actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today’s news announcement and in the Company’s filings with the Securities and Exchange Commission, including the Company’s reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I have joining me on the call today Stuart Rose, Executive Chairman of the Board and Zafar Rizvi, Chief Executive Officer. I'll first review our financial performance and then turn the call over to Stuart for his comments. REX is pleased to report an industry leading and profitable first quarter to begin our fiscal 2016. Sales for the quarter declined approximately 5%. Sales were based upon 58.7 million gallons this year versus 55.8 million gallons in the prior year. We experienced a $0.09 per gallon reduction in ethanol price and approximately a $19 per tonne reduction and DDG pricing for the quarter. Gross profit declined from $9.1 million to $8.4 million for the first quarter. This decline was principally due to lower DDG pricing. DDG pricing for the quarter was impacted by the lower corn pricing and continued uncertainty of demand from China. SG&A was slightly reduced from $4.5 million to $4 million, reflecting slightly lower incentive compensation, professional fees and railcar leases. Equity method income was $233,000 this year versus $1.5 million in the prior year due to no longer recognizing income from the Patriot plant as well as lower contribution from the Big River facilities. Our cash rate for the first quarter of fiscal 2016 was approximately 35% versus approximately 38% in the prior year first quarter, net of non-controlling interest. Our tax rate can fluctuate based upon lower of income, domestic production activity deduction and state allocations. We currently believe this is a good approximation for the tax rate for the year. Our net income for the quarter was $2.8 million versus $3.9 million in the prior year. And our diluted earnings per share for the first quarter was $0.43 versus $0.50 in the prior year. I’ll now turn the call over to Stuart Rose, Executive Chairman of the Board for his commentary on the quarter results and industry perspective.
Stuart A. Rose: Going forward, we are currently running the rate of approximately 50% better this quarter than the quarter we just reported. Things are looking a little bit up for us. Our crush spreads look like they're firming up and getting a little better, that’s the price of corn versus the price of ethanol. As we go into driving season, there should be more demand for our product and we have on the plant that we control we have no long-terms hedges, so we get direct impacts from increases in crush spread. The other thing going forward is DDG prices have been rising and as corn have been rising with the price of corn during this quarter, it was a drag on us last quarter, this quarter prices should go up as corn prices go up. In terms of EPA and what is going on there, they have provided us a lot more stability this year, we haven’t had the uncertainty that we did last year and we look at that as the positive. Natural gas prices have remained low, weather so far is cooperating with us, it looks like there will be a good harvest this year. We see nothing that that would prevent a good harvest this year, which of course is good for us. And we appear to have no political threats with the presidential candidates as both of them have expressed support for ethanol. In terms of our cash, we continue to generate large amounts of cash. Cash balance was approximately $122 million at the end of the quarter. We bought back some shares about a little more than 87,000 in the first quarter. We have no debt. We continue to look for other opportunities. We have nothing eminent at this time. We have made I would say very little progress on our heavy oil project, which is probably just as well, because with the price of oil today. Pulling out deep heavy oil is probably cost prohibitive, but we still continue to have interest in that. Again, we wouldn’t recommend people buying our stock on related to that. The biggest opportunity is expanding our ethanol plants and Zafar Rizvi will give you an overview of where we stand on that and what's going on in that area.
Zafar A. Rizvi: Good morning. Going to financial year 2015 and until now, we made capital investments of approximately $17 million to increase production. We continue to focus on improving our operational efficiencies, managing cost of production and increasing ethanol yield. We built fermentation tanks, new large hammer mills, we added new slurry blenders, [macular feeds] (Ph) and other equipments to both plants. We expect the entire project to be started late last year and early into this year, will complete no later than early August. We expect capital spending of $6 million to $10 million this year, due to these capital investments our goal is to increase the production level of each plant to a rate of 135 million gallons. We have received final pathway approval from EPA for new NuGen although it is still pending for one last synergy. NuGen now has a permit to produce up to 150 million gallons. We will continue to monitor special monitor crush margin while we bring the plants to higher rate and resolve other bottlenecks and we increase our production to-date of 135 million gallons or more. Our ultimate goal is to achieve a rate of 150 million gallons for both locations. At this time our both plants have continued to be a cash flow positive and currently we are producing at almost full capacity. Stuart.
Stuart A. Rose: In conclusion, next quarter the quarter we’re currently in is currently running at approximately 50% better than the quarter reported. We continue to drastically outperform most other companies in the industry. We’ve great locations, great rail, good corn supply and most importantly and the thing that we consider the greatest asset of our company is we have great people at every level and that’s what really I think sets us apart from the other companies in our industry. At this time, I’ll now leave the forum open to questions.
Operator: Thank you [Operator Instructions].
Stuart A. Rose: Well I guess if there is no questions, I would like to thank everyone for listening. Again, operator are there any questions?
Operator: Yes, we do have question from the line of Robert Maltbie of Singular. Please proceed with your question.
Robert Maltbie: Hey Stuart, hey Doug. Robert sitting in for Greg Eisen, he had to be on a little bit of family business today. How you are all doing today?
Douglas L. Bruggeman: Good Robert.
Zafar A. Rizvi: Very well, thank you.
Robert Maltbie: Hey just got a question really, and again looking forward to your presentation at our conference up in San Francisco June, 9th next week and I'd expect a good turnout there. I want to mention or ask about use of cash, significant amount of the balance sheet and just wondering what your perspective is on that moving ahead and best use of cash. And also if you could address the strategy in terms of M&A opportunities? Thank you, I'll go back in the queue.
Stuart A. Rose: Well we always look for opportunistic M&A opportunities in the ethanol business. We have nothing eminent, we of course have things across our desk all the time, but again not any eminent in that area. We buyback our shares opportunistically and as Zafar talked about our biggest opportunity is just to expand our plants, to least expensive opportunity, it’s the safest opportunity. We think it can give us the biggest return. So, we're working diligently on expanding our plants and trying to increase the capacity on our plants.
Robert Maltbie: Thank you.
Stuart A. Rose: Sure. Thank you Robert.
Operator: Okay and there are no further questions at this time. I'll now turn the call back to you. Please continue with your presentation or closing remarks.
Stuart A. Rose: Well, I just want to thank everyone for being a shareholder and I want to thank you for your support and we'll talk to you when we make our next report, next quarter. Thank you very much. Bye.
Operator: Ladies and gentlemen, that concludes the conference call for today. We thank you for your participation and ask that you please disconnect your lines.